Operator: Greetings, and welcome to Sportsman's Warehouse Third Quarter 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn the conference over to your host, Rachel Schacter of ICR. Please go ahead.
Rachel Schacter: Thank you. With me on the call is Jon Barker, Chief Executive Officer; and Robert Julian, Chief Financial Officer. Before we get started, I would like to remind you of the company's Safe Harbor language. The statements we make today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which includes statements regarding our expectations about our future results of operations, demand for our products and growth of our industry. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, including those described under the caption Risk Factors in the company's 10-K for the year ended February 2, 2019, and the company's other filings made with the SEC. We will also disclose non-GAAP financial measures during today's call. Definitions of such non-GAAP measures as well as reconciliations to the most directly comparable GAAP financial measures are provided as supplemental financial information in our press release, included as Exhibit 99.1 to the Form 8-K we furnished to the SEC today, which is also available on the Investor Relations section of our website at investors.sportsmanswarehouse.com[ph]. Now I'd like to turn the call over to Jon Barker, Chief Executive Officer of Sportsman's Warehouse.
Jon Barker: Thank you, Rachel. Good afternoon everyone and thank you for joining us today. I'll begin by reviewing the highlights of our third quarter performance and then discuss our strategic initiatives that are driving market share gains as well as thoughts on the remainder of the fiscal year, Robert will then go over our financial results in more detail and review our outlook, after which we will open up the call to your questions. We are very pleased with our third quarter results, which were at the high-end of our guidance on the top and bottom line, excluding the eight recently acquired stores that were not included in our original outlook. For the quarter, net sales increased 8.7% to $242.5 million driven by a 4.8% comp increase and 11 new stores, including eight new stores acquired at the end of Q3. These eight new stores were rebranded and grand opened as Sportsman's Warehouse locations in the last two weeks of Q3. The eight stores saw a nice grand opening sales lift, which also contributed to our non-comp sales growth for the quarter. Comparable sales increased 4.8% which came in ahead of our expectations partially due to an 80 basis point lift from generator sales in California, driven by devastating wildfires and related power outages. Our thoughts are with everyone impacted and we are grateful to the many first responders and our store associates who helped with the recovery efforts. Continued strong performance across our mature stores and e-commerce platform, were also notable comp drivers in the quarter. Gross margins were approximately flat with prior year period, including a modest benefit from sell-through of lower cost inventory included as part of the acquisition of the eight stores. Operating expenses were impacted by 130 basis points of deleverage, largely attributed to pre-opening and transaction expenses associated with the eight locations acquired. This resulted in adjusted diluted earnings per share of $0.25 for Q3 inclusive of a $1.05 headwind from the eight acquired stores. Our strong Q3 results and industry outperformance are a testament to the team's disciplined execution of our growth strategies, combined with our unique positioning within a consolidating industry. Our focus and commitment to innovation across our business to drive customer acquisition and engagement is further differentiating us in the outdoor sporting goods industry and helping to strengthen our competitive positioning. I will now highlight a few of these strategies and the progress we've made against them in the third quarter. Beginning with our omnichannel strategy, which includes our stores and e-commerce platform, we continue to grow our store base and capitalize on the white space opportunity we see for our flexible store formats. As you're aware, during the quarter, we announced and closed on the acquisition of eight new stores for a total purchase price of approximately $29 million. This was an opportunistic acquisition that allowed us to expand our store footprint in both the existing and new markets where we didn't already have a brick and mortar presence such as New York and Pennsylvania. These markets were appealing, given the well-established customer foundation in each of these respective markets. The eight stores were converted to Sportsman's Warehouse stores and officially opened on October 19, with grand openings at each on October 25th and 26th. The grand opening celebrations were a great way to showcase our products and interact with new customers in each respective community. In terms of unit economics, the eight acquired stores are an average of approximately 50,000 square feet, which is larger than the average Sportsman's Warehouse store. We expect them to double digit four-wall EBITDA margins and at least 20% ROIC, consistent with the traditional Sportsman's Warehouse store hurdle rates, while these stores are still new, we are pleased with their performance thus far. Following a period of investment in our omnichannel capabilities, technology and debt reduction over the past two years, we are excited to return to a more typical store growth pattern. With the acquired stores, we've expanded our store base by 11 stores or 13.6% square foot in fiscal 2019 to-date, which is up from five stores or 3.9% square foot in fiscal 2018. We have one additional store plan in the fourth quarter. This new store will be our first store launch under our new brand Legacy Shooting Center. This new brand concept will allow us to test a small retail store as well as an indoor archery and firearms range appealing to our broad spectrum of shooting sports participants. The Legacy Shooting Center will be in the same physical structure as our new corporate office in West Jordan, Utah. Touching briefly on our e-commerce performance, we continue to be very pleased with the traction we've seen from our new website sportsmans.com, as well as improved digital capabilities including BOPUS, which increased over 80% in the quarter versus prior year. In addition, we are moving from a test to rollout phase for ship from store to home with 20 stores now utilizing this capability to improve transit time for our customers, reduce transportation expense and increase leverage on our inventory. We will continue to grow and enhance these features and keep you updated on additional progress. Next, customer acquisition and engagement. We saw strong growth in our loyalty program in Q3, we now have over 2 million members, driving approximately 50% of our revenue. As an extension of our loyalty program, during the quarter, we launched our new Sportsman's Warehouse, Explorewards Visa card through a partnership with Alliance Data. This program provides greater access to credit for our customers and best-in-class benefits including the ability to earn five points for every $1 spent in a Sportsman's Warehouse Store or online at sportsmans.com. Turning to merchandising. During the third quarter we continue – continue to expand our exclusive product offering, including a new hunting rifle package developed and launched with the support of key brands and a well known influencer. The reception of this rifle by our customers has exceeded expectation providing a right to win – with proving our right to win with an exclusive product. As mentioned in Q2, the assortment expansion initiatives in our Killik, Marquee outerwear brand and focus on camouflage for the fall season supported an increase in apparel sales, which Robert will discuss in his section. Shifting gears to our Q3 comp performance and the composition of our third quarter comparable sales results. In addition to the 80 basis points generator lift, I mentioned earlier in my remarks, firearms and ammunition sales increased 4.9% in Q3 2019. Firearm units across the company again increased over prior year. This performance continues to be a reflection of our dominant positioning within the firearms industry, leveraging our extensive offering and value-added services including FFL partnerships and used firearms. These differentiators and our best-in-class shopping in-store and online at sportsmans.com are driving customer acquisition and engagement. For the third quarter, firearm units increased 3.9% driven by growth across a broad spectrum of firearms products. In summary, we had a very strong third quarter and exceeded the midpoint of our guidance on both the top and bottom line. We are very pleased with the momentum of the core Sportsmen's business as we continue to make progress on all of our growth initiatives. The underlying strength of our core business combines the successful completion of the eight new store acquisitions, further strengthens our competitive positioning and we remain focused on building on our share gains moving forward. As you saw in our press release, we are increasing our full year guidance, which Robert will discuss in more detail. We feel very good about our long-term positioning, but there are large competitors currently deemphasizing the hunting and shooting category, creating short-term sales headwinds which are reflected in our guidance. These changes in the competitive landscape are causing near term sales pressure as these retailers sell through inventory. However, given our growing brand and expanding reach through e-commerce and retail expansion, we are uniquely positioned to capitalize long-term on the market share opportunities. With that, I'll turn the call over to Robert to discuss our financials.
Robert Julian: Thank you, Jon. I'll begin my remarks with a review of our third quarter results and then discuss our outlook for Q4 and full year 2019. Most of the financial figures discussed on today's call are reported on a U.S. GAAP basis. In the instances where we report non-GAAP financial measures, we have reconciled the non-GAAP measures to the corresponding GAAP measures in our earnings press release, which we issued earlier today. Also please note, that both our reported and projected results include the impact of eight new stores that were open for business for the final two weeks of Q3 2019. Third quarter 2019 net sales were $242.5 million compared to $223.1 million in the third quarter of fiscal year 2018, an increase of $19.4 million or 8.7%. Same-store sales increased 4.8% which was above the high-end of our previously guided range of 1.5% to 4.5% growth. We saw same-store sales growth in every one of our product categories in Q3 2019. The fishing department had the highest growth rate at 9.0% led by rods and reels, terminal tackle and lures. The clothing category grew 8.3% compared to prior year, led by men's hunting apparel, men's fishing apparel, and men's sportswear. The camping department also showed strong growth at 6.8% led by generator sales, which was significantly impacted by the California fires and associated power outages. Firearms and ammunition sales grew 4.9% in the quarter versus prior year. We ended the quarter with 103 stores operating in 27 States. Total square footage growth was 13.6% compared to the third quarter of fiscal year 2018. Q3 2019 gross profit was $84.2 million, compared to $77.6 million in the third quarter of fiscal year 2018, an increase of $6.6 million or 8.5%. Gross margin was relatively flat at 34.7% versus 34.8% in the prior year period. Gross margin in Q3 2019 included a lift of approximately 10 basis points, due to the discount we received on the purchase of inventory when we acquired the eight new stores. SG&A expense of $68.3 million for Q3 2019 was an increase of $8.3 million or 13.8%, compared to the third quarter of fiscal year 2018. This includes $1.9 million of pre-opening expenses and transaction costs related to the eight new stores that opened at the end of the quarter. We incurred additional payroll expense of $4.0 million primarily due to minimum wage and benefit increases plus new store growth. Rent expense increased approximately $0.7 million, primarily due to new store openings. Other operating expense increased approximately $1.6 million, primarily due to incremental marketing expenses and software support piece. As a percentage of net sales SG&A increased approximately 130 basis points from 26.9% to 28.2%. This includes an 80 basis point increase for pre-opening expenses and transaction costs related to the opening of the eight new stores. Income from operations was $15.9 million or – in Q3 2019, compared to $17.5 million in the third quarter of fiscal year 2018. Q3 adjusted income from operations was $16.3 million. Interest expense in Q3 2019 was $2.1 million, compared to $2.6 million in Q3 of the prior year, a reduction of $0.5 million, this improvement as a result of lower total borrowings, primarily attributable to our inventory reduction efforts. We recorded income tax expense of $3.3 million in Q3 2019, compared to $2.5 million last year. Net income for the quarter was $10.5 million or $0.24 per share based on a weighted average share count of 43.2 million, as compared to net income of $12.4 million or $0.29 per share based on a weighted average share count of 42.9 million last year. Adjusted net income was $10.8 million or $0.25 per diluted share based on a diluted weighted average share count of 43.6 million in the third quarter of 2019, compared to adjusted net income of $11.1 million or $0.26 per diluted share based on a diluted weighted average share count of 43.1 million in the third quarter of last year. Adjusted EBITDA for third quarter 2019 was $23.2 million, compared to $22.6 million in the prior year period. Turning now to the balance sheet. Q3 2019 ending inventory was $338 million as compared to $369 million at the end of third quarter of last year, a reduction of $31 million. Our Q3 ending inventory balance includes approximately $20 million of inventory related to the acquisition of the eight new stores. On a per store basis, inventory was down 18.2% compared to last year. We had $13.4 million of capital expenditures during the third quarter of 2019, compared to $6.3 million in the prior year period, an increase of $7.1 million. This increase includes $5.3 million of furniture, fixtures and equipment acquired with the eight new stores. The remaining increase is primarily associated with the build out of our new corporate headquarters, but which we expect to enter into a sale leaseback arrangement by fiscal year end. Q3 year-to-date 2019 operating cash flow was positive $57.9 million versus negative $14.4 million for Q3 year-to-date 2018. This $72.3 million improvement in operating cash flow year-over-year is primarily due to tight working capital management of both inventory and payables. Our liquidity remains strong as we ended the quarter with $131 million in outstanding borrowings and approximately $79 million of availability under revolving credit facility. The outstanding balance on our revolving credit line is $51 million lower at the end of Q3 2019, compared to the same period last year, even while utilizing the facility to fund the acquisition of the eight new stores during the quarter. The outstanding balance on our long-term debt was $30 million at the end of Q3 2019, compared to 38 million in the same period last year, a reduction of $8 million. Turning now to our outlook for Q4 and fiscal year 2019. As you saw in our press release, we are revising our full year guidance to reflect our Q3 top line results, which came in at the high end of our guided range, the opening of eight new stores which occurred at the end of Q3 and the impact of the short-term competitive environment that Jon referenced earlier. We now expect net sales in fiscal year 2019 of $891 million to $901 million in same-store sales growth in the range of flat to positive 1.0%, compared to fiscal year 2018. We project 2019 adjusted earnings per diluted share of $0.55 to $0.61 on approximately 43.5 million diluted weighted average common shares outstanding. Our outlook for the fourth quarter of 2019 is as follows. Net sales in the range of $263 million to $273 million. Same-store sales growth of minus 1.5% to positive 1.5%, compared to Q4 of fiscal year of 2018. Adjusted net income in the range of $12.6 million to $15.3 million. Adjusted diluted earnings per share of $0.29 to $0.35 on approximately 43.5 million diluted weighted average common shares outstanding. We expect net capital expenditures of approximately $22 million to $25 million in fiscal year 2019 with approximately $34 million to $38 million in gross capital expenditures offset by $12 million to $13 million in landlord incentives and sale leaseback transactions. With that, I will now turn the call back over to the operator for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Your first question comes from the line of Peter Keith with Piper Jaffray. Please proceed with your question.
Peter Keith: Hi. Good afternoon, everyone. Congrats on the nice results. I guess, it seem like you gave us some quantification for the impact of the Field and Stream acquisition in Q3 which was about – I’m taking it that $1.9 million of expenses. But I'm looking more towards Q4, where you're calling for a little bit of comp in sales pressure, but that's a pretty healthy EPS. It looks like there is a pretty solid inflection in margin performance. So could you help us understand the impact of the Field and Stream stores on the model in Q4, if there is a big swing factor with a better gross margins or better sales?
Jon Barker: Hey Peter, it's Jon. Good to talk to you. There is two things influencing the margin outlook in Q4. One is the inventory purchased with the eight acquired stores, we were able to purchase that at a discount to normal rates. The other thing that is critical to understand as we entered into Q4 holiday season of this year, we were better prepared than we've ever been on our marketing and our promotional cadence. And we've stayed true to that and kept our margins very solid. Some of that came from first cost of goods and rebate negotiation, some have stayed with just a really clear marketing strategy, and we expect to stay with that marketing strategy and stay rigorous on our margins and our profit to the remainder of the quarter. So those two things combined are driving the optimism in our margin outlook for Q4.
Peter Keith: Very helpful. And I guess on the – as a follow-up on that Field and Stream discounted inventory, will you largely be sold through a majority of that by the end of Q4 or should we expect some carryover into 2020 as well?
Jon Barker: Peter, the carryover into 2020 – fiscal 2020 will be minimal.
Peter Keith: Yes, okay. And then pivoting to different topic on the competitive landscape. So Walmart has had a pretty high profile announcement about the emphasizing the ammo category. Are you seeing some discounting of ammunition in the channel? And maybe furthermore, I know you have stores that are right next to Walmart, are you seeing any sales benefits at this point from perhaps a market share gains?
Jon Barker: Yes. So Peter, good question. As you know there is three major retailers that are assessing or have clearly communicated their desire to limit hunting and shooting sports. As you mentioned, Walmart is exiting categories around handgun ammunition and MSR, AR platform ammunition. We saw in mid-November the pricing start to get more aggressive from those stores. We are now seeing a situation where it appears that they are dwindling through that inventory at a price point that's very, very promotional. And our understanding is that the new receipts into Walmart have stopped. So over the next few weeks, we expect to see that ammunition be sold through. That's creating some, I'll call it, near-term pressure on ammunition pricing in that commodity class, which we are not chasing. We are staying with our everyday low pricing in our traditional promotional cadence. The exciting thing for us as we look forward to 2020, every one of our stores has at least one Walmart within 20 miles. The average distance is eight miles and in some cases probably about a dozen of them, we actually share a parking lot more than a couple of hundred yards. So while near-term, it is creating some pressure on the sales for that category, long-term as they exit those categories, which we expect are somewhere between $250 million and $300 million nationwide. There's a nice market opportunity for us to go after. We've – as you can imagine – we've known for some time what's happening on that, on their side of the business through their press releases and our work with vendors. And we have already started to reforecast our inventory purchases to ensure that we maintain our in-stock position and our margin position in 2020.
Peter Keith: Okay. That's very helpful and interesting. Maybe one last question for me. Jon, you had mentioned that the credit card launched, I think it was in October. The benefits that are presented on the website look quite attractive from a points perspective and interest rate financing. So curious on what the initial reaction is, maybe it's a little early, but is the card starting to resonate with consumers at this point?
Jon Barker: Yes. I can give you some color for – at this point, we're not prepared to give any data points. But what I can tell you, Peter, is the combination of the Visa card and the in-store credit created an acceptance rate for our consumers that we've never seen before with our prior partner is on the credit card, so for – or in-store. So you know Alliance Data as the Visa card, the consumer is unable to qualify for the Visa card, we have an in-store Sportsman's Warehouse credit option through that's backed by Alliance Data. And what I can tell you is the response rate on the consumers and the acceptance rate is significantly better that we've experienced with our prior card that we had in the past and really right on track with our expectations as presented through Alliance Data. So we'll talk a little bit more about that. At the end of – at the next earnings call, I believe we launched that card right around the first week of October. So we only have a few weeks in, we're really pleased with the progress.
Peter Keith: Okay. Sounds good. Thank you and good luck.
Jon Barker: Thanks Peter.
Operator: [Operator Instructions] Your next question comes from the line of Peter Benedict with Baird. Please proceed with your question.
Peter Benedict: Hey guys. Sorry, thanks for taking the question here. I apologize if I missed this, I jumped on a little late. But do you have – can you give us a sense for what your Field and Stream revenue impact is in the fourth quarter plan? And then as we think about 4Q EBIT margins, it seems like implied up maybe 75 basis points or so year-over-year. How is the gross margin look within that? And then just are you able to use out kind of what the contribution is from Field and Stream?
Robert Julian: So Peter, this is Robert. A couple of comments. In Q3, we have this part of our filings. We have disclosed that the Field and Stream stores contributed about $3.8 million of revenue in Q3. So we beat Q3 revenue by about $7.5 million versus the midpoint of our guidance. Let's say half of it was the Field and Stream stores. Half of it was exceeding same-store sales growth at certainly higher than midpoint and even a higher than the top end of our range. We are not disclosing how much the Field and Stream stores are projected to impact Q4. We do not want to get into habit of reporting specifically the growth of any new store opening, the same way that we haven't provided specific sales numbers for Lansing or Fort Wayne and so on, although, there are probably some math that you can do to triangulate. We did effectively reduced our same store sales growth outlook for Q4 in more or less. We're sort of projecting the baseline business to be flat to our outlook, the last time we gave guidance. So you could probably triangulate something in there, the overall increase is probably due to some new stores, but we haven't provided more guidance than that specifically. As it relates to gross margin, it is true the discount in inventory that we received in this transaction has given a lift to margin in Q3 over that two week time period, it had about a 10 basis point impact. I would say the projected impact in Q4 is roughly 80 basis points or so. And so if you look at our gross margins, that is the lift that you would see in Q4 relative to that discount in inventory, which we expect to be, sold out – primarily sold out by the end of the quarter and as Jon said, probably will not impact our view of Q1 margins. I hope [ph] that answer your questions.
Peter Benedict: Yes. No, that's great. That was excellent. I guess just maybe – I mean that was doing a great job there, kind of framing, kind of the Walmart bang on it. Can you – is there similar color I can just at least [indiscernible] kind of the other players who were stepping back, maybe the timing and the cadence of maybe the when those headwinds might fall-off?
Jon Barker: Peter, you cut out a little bit, but I think your question was the other retailers that are deemphasizing when that will happen. Is that accurate? Was that your question?
Peter Benedict: Yeah, just any color around what they're doing. And then when you see those processes being behind us.
Jon Barker: I can tell you looking at the promotional activity that's happening by the two other retailers that we're referencing, there is a significant effort to reduce inventory, which I can only assume as part of a change in strategy in those categories. We do know that one of those two retailers has announced that they will close about between 20 and up to 35 of their stores because it does not fit their strategic assortment goal. We know that there's other folks that are deemphasizing and we are seeing that in their promotional materials and their marketing. We expect or we assume that a lot of that will flow through during Q4 they're taking advantage of the sales cycle and the traffic to move through this excess inventory. So that's part of our reflection of Q4 guidance, is what we're seeing a real time from those retailers and we expect them to be more normalized going into Q1 of 2020.
Peter Benedict: Okay. Thank you for that Jon. And I guess my last question would just be around the recent background checks, there is [indiscernible] quality of those, but more recently we saw some, I think any of the one from last month were down a bit, sort of your latest view maybe on the trend within background checks in the industry overall from that standpoint?
Jon Barker: Yes. Peter, I think again, sorry for the phone connection, I'm not sure if that's you or me, but I think your question is around the kind of cadence of mix checks. I believe November adjusted mix was up 2.1%. I can tell you that if you look state-by-state, there were some significant changes this year state-by-state, specifically in the state of Washington. There was a legislation passed at the beginning of November, 2018 that was then enacted in mid-2019. If you look at the adjusted mix data, the state of Washington on adjusted mix in November was down 43% in firearm units background checks. So we're seeing pretty significant volatility in November depending on which state you look at. We've seen some other states that are up in the double-digit range. Our business continued to be solid. We were pleased with our same store unit expansion in Q3 and I can tell you we're very pleased with performance we saw over the key shopping holiday that we just went through.
Peter Benedict: Okay, great. Thanks. I apologize for the connection struck.
Jon Barker: No, bother. Good talking to you Peter.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session and I would like to turn the call back to management for closing remarks.
Jon Barker: I want to thank everyone for their time today. A special thanks to all of our hardworking team members, who contributed to our successful third quarter and are working diligently to serve our customers during this holiday season. Thank you again for your time.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.